Operator: Good morning. Thank you for attending today’s Xenia Hotels & Resorts First Quarter 2023 Earnings Conference Call. My name is Megan, and I’ll be your moderator for today’s call. [Operator Instructions] I would now like to pass the conference over to Amanda Bryant, VP of Finance. Amanda, please go ahead.
Amanda Bryant: Thank you, Megan. Good morning, and welcome to Xenia Hotels & Resorts’ First Quarter 2023 Earnings Call and Webcast. I’m here with Marcel Verbaas, our Chair and Chief Executive Officer; Barry Bloom, our President and Chief Operating Officer; and Atish Shah, our Executive Vice President and Chief Financial Officer. Marcel will begin with a discussion on our performance, Barry will follow with more details on operating trends and capital expenditure projects and Atish will conclude today’s remarks on our balance sheet and outlook for 2023. We will then open the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday, along with the comments on this call, are made only as of today, May 3, 2023, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find reconciliations of non-GAAP financial measures to net income and definition of certain items referred to in our remarks the earnings release, which is available on the Investor Relations section of our website. First quarter 2023 property level portfolio information we will be speaking about today is on a same-property basis for all 32 hotels. An archive of this call will be available on our website for 90 days. I will now turn it over to Marcel to get started.
Marcel Verbaas: Thanks, Amanda, and good morning to everyone joining our call today. We are pleased with our first quarter results, which reflect a strong start to the year. As expected, our portfolio experienced significant RevPAR growth in the first quarter as compared to 2022, particularly in January and February, as we lap the negative impact of the Omicron variant in the beginning of last year. Overall demand in the quarter reflected the continued transition in our business to a more normalized mix of leisure, corporate transient and group demand. This trend particularly aided performance in our hotels and resorts that have traditionally been more dependent on corporate transient and group demand and that, in many cases, were more significantly impacted by the Omicron variant during the early part of last year. For the quarter, we reported net income of $6.3 million, adjusted EBITDAre of $71.3 million and adjusted FFO per share of $0.40, with all of these measures reflecting significant increases over the first quarter of last year. Same-property RevPAR in the quarter was $179.55, an increase of 23.9% as compared to 2022. The majority of RevPAR growth came from occupancy, which increased roughly 10 points as compared to the first quarter of 2022, while average daily rates increased 5.2%. As compared to the first quarter of 2019. RevPAR for the 30 hotels we currently own that were open at that time was down just 1.6% for the quarter. For these 30 hotels, which excludes Hyatt Regency Portland and W Nashville, occupancy was roughly 10 points below 2019, while ADR was up 13.5%. Adjusted EBITDAre of $71.3 million reflected growth of 42.8% over the first quarter of 2022. Margins improved 167 basis points compared to the first quarter of 2022 despite continued inflationary pressures, particularly in labor and utilities. Importantly, the demand recovery continues to broaden. In the first quarter, 8 of our 10 largest markets, as measured by 2022 EBITDA contribution reported double digit RevPAR increases as compared to the first quarter of 2022. RevPAR for the Dallas hotels increased more than 50%, while RevPAR grew more than 30% in our Houston, Atlanta and San Francisco/San Mateo hotels. Outside of our top 10 markets, Portland and Santa Clara experienced RevPAR increases of more than 60% and 70%, respectively. These are all markets with larger hotels with a relatively higher dependence on business transient and group demand, and they are still performing well below 2019 levels. Therefore, we continue to believe that these markets continue to present the greatest potential for recovery and earnings growth in the quarters ahead. Conversely, the 2 top 10 markets with RevPAR declined in the quarter, Key West and Napa, lapped particularly strong performance in the first quarter of 2022 as Omicron did not meaningfully impact demand in these markets. Additionally, the unusually rainy weather had a substantial negative impact on demand in Napa for the quarter, with the bad weather conditions also impacting leisure demand in the remainder of California. Despite lots of uncertainty in the economy, we have not yet observed any signs of broad-based demand slowing. The second quarter is off to a good start against a challenging year ago growth comparison. We estimate that our preliminary April same-property RevPAR is approximately $196, which would be down roughly 2% as compared to April 2022. Preliminary April occupancy of 78.7% is nearly flat to 2022 and preliminary ADR is down approximately 2%, reflecting the demand mix shift we are witnessing in the portfolio. For the 30 hotels that were open in 2019, preliminary RevPAR for April was approximately $197, which would be a 1.1% increase as compared to April of 2019. These preliminary results are encouraging given the historical seasonal strength of the month of April within our portfolio, including very strong leisure-driven performance in April last year. We remain cautiously optimistic for the balance of 2023 and beyond based on the trends we continue to see in our business. With first quarter results coming in as we expected 2 months ago and preliminary top line performance in April also matching our expectations, we are reiterating the midpoint of our full year outlook for RevPAR growth and adjusted EBITDAre. Atish will provide additional details on our updated guidance during his remarks. Let me highlight 4 key factors supporting our long-term optimism. First, as I have mentioned, our portfolio is returning to a more traditional mix of business. Historically, about 1/3 of our mix was group. And with continued momentum in group booking pace for 2023, our current group revenue -- group room revenue on the books for 2023 is only about 6% of the high 2019 levels for the 30 hotels that were open at that time. Including our recent acquisitions, Hyatt Regency Portland at the Oregon Convention Center and W Nashville, group room revenue on the books for 2023 is currently about 20% ahead of 2022 levels, driven by increases in both room nights and rate. We are also seeing continued momentum in corporate transient business. Midweek occupancies continued to improve meaningfully in the first quarter, increasing by mid-teen percentage points on both Tuesday and Wednesday nights as compared to the first quarter of 2022. Second, we have numerous growth drivers embedded in our existing portfolio that we believe will support growth this year and beyond. As mentioned previously, we have recovery potential in our leisure, urban, group and business transient focused hotels, mainly Marriott San Francisco Airport, Hyatt Regency Santa Clara, our 2 Dallas hotels and our 3 Houston hotels. These 7 hotels reported more than 40% RevPAR growth on average in the first quarter as compared to 2022. However, EBITDA of these 7 hotels in the first quarter of 2022 was still approximately 22% below the first quarter of 2019. Also, we own several recently renovated properties and properties undergoing renovations that are soon to be completed that we expect to be meaningful internal EBITDA growth drivers. These include Hyatt Regency Grand Cypress, Park Hyatt Aviara, Waldorf Astoria Atlanta Buckhead and Grand Bohemian Hotel Orlando, amongst others. Looking further ahead, our upcoming transformation of the Hyatt Regency Scottsdale Resort & Spa at Gainey Ranch to a luxury Grand Hyatt resort is expected to be a meaningful contributor to our future growth. And Hyatt Regency Portland at the Oregon Convention Center and W Nashville are continuing to ramp as the base of group business builds at both properties. We continue to believe that both will serve as significant drivers of future EBITDA growth as these properties stabilize over the next few years. Third, our flexible balance sheet, which was further strengthened as a result of our recent activities, supports continued investment in our portfolio while also balancing returns to shareholders in the form of share repurchases and our $0.10 per share quarterly dividend. And fourth, Xenia’s portfolio of high-quality hotels and resorts will continue to benefit from diminishing levels of new competitive supply as the environment for new hotel development remains challenging. Based on the most recent data from Lodging Econometrics, weighted room supply growth in our submarkets is expected to be just 1.2% in 2023 and 1% in 2024. This represents a meaningful reduction in growth from about 3% annually just a few years ago. As for the transaction environment, we believe we are very well positioned to remain opportunistic as it relates to essential future acquisitions. We continue to look at opportunities that meet our criteria, including top 25 markets and key leisure destinations. However, we are willing to be patient as the overall environment continues to evolve and as we evaluate whole avenues to drive shareholder value. And with that, I will turn the call over to Barry.
Barry Bloom: Thank you, Marcel, and good morning, everyone. As Marcel indicated in his prepared remarks, the same property leaders in terms of RevPAR growth in the quarter included many of the hotels that lagged over the past 2 years, suggesting that recovery is now more broad-based. RevPAR grew in excess of 30% in our hotels in Dallas, Santa Clara, San Francisco, Houston, Philadelphia, Washington D.C., Atlanta and Portland. While it may seem surprising that we call out strength in San Francisco given much of the negative press, our hotel, the 688-room Marriott in the San Francisco Airport is recovering very well. This property is benefiting from improving group demand, recovering international air travel and improving business transient demand, particularly from life science related corporate accounts. As expected, results in the first quarter varied across the months in the quarter as we lap the impact of the Omicron variant in early 2022. Same-property RevPAR in January increased a very robust 49.5% and moderated to a RevPAR increase of 10.4% in March as compared to 2022 despite impact from several renovations and severe weather that impacted several of our California properties. Rate growth in the first quarter at our same-property portfolio moderated a bit on a mid-teens percentage increase in the last several quarters to up 5.2% as compared to 2022. We are optimistic regarding corporate and group rates, particularly as we achieve higher mid-week occupancies in a number of our larger hotels in urban markets, including Santa Clara, San Francisco, Houston and Dallas, particularly on Tuesday and Wednesday nights where these higher occupancies are providing meaningful rate compression opportunities. Our managers anticipate further improvement in corporate transient business fundamentals and continue to expect negotiated corporate rates to increase in the high single-digit percentage range this year. Business from the largest corporate accounts across our portfolio continues to improve, with March representing the strongest recovery to 2019 since the beginning of the pandemic. On average, rate growth at our leisure-oriented hotels in the first quarter was below that of our same-property portfolio, but still positive as compared to the first quarter of 2022 with rates well above 2019 levels. We saw rate declines in Key West and Napa off of historic highs through the pandemic, yet reached nearly 40% above 2019 levels and rates did increase in Q1 at our other leisure-oriented properties in Orlando, Savannah, Charleston and Arizona. Now turning to expenses and profit. First quarter same-property hotel EBITDA was $77.2 million, an increase of 33.6% on a total revenue increase of 25.9% compared to the first quarter of 2022, resulting in 167 basis points of margin improvement. The significant improvement in the hotel EBITDA margin for the quarter reflects our operator’s ability to manage expenses while also benefiting from significantly better revenue in areas such as food and beverage, up more than 35% for 2022, the banquet and catering revenues up over 60% compared to 2022 as a result of high-quality group business, both of which contributed to significant levels of food and beverage profit. Group control rooms expenses also contributed to EBITDA margin expansion as improved occupancy spread the fixed operating costs over a broader base. Most payroll expense was up roughly 20% compared to the first quarter of 2022. Group margins in the operating departments were somewhat offset by increases in areas such as utilities, which were up approximately 24%. With respect to labor overall, our operators successfully staffed up last year to meet the strong recovery and demand where necessary and have been able to better fill open positions. In general, our fully recovered hotels are operating at FTE staffing levels between 90% and 95% of prepandemic levels, while hotels where there is still substantial opportunity for recovery are operating at FTE staffing levels at approximately 75% of prepandemic levels. Now turning to CapEx. During the first quarter, we invested $11.6 million in portfolio improvements. At the Grand Bohemian Orlando, we completed the comprehensive renovation of public spaces, including meeting space, lobby, restaurant, bar, Starbucks and the addition of a new rooftop bar. A comprehensive renovation of the guest rooms will commence in the next several weeks. At Canary Hotel in Santa Barbara, we have just completed the comprehensive guestroom renovation and are now looking forward to the benefits of a fully renovated hotel. At the Ritz-Carlton Denver, the recently completed renovation and reconfiguration of the premium suites resulted in 3 additional keys added as of April 1. At Park Hyatt Aviara, we continue to work on the significant upgrade of the resort spa and wellness amenities, which we branded as the Miraval Life in Balance Spa upon completion late in the second quarter. We also continued planning work at the Hotel Monaco Salt Lake City on a comprehensive renovation of meeting space, restaurant, bar and guest rooms. It is also expected to commence in the second quarter. And finally, the comprehensive $110-million renovation and up-branding of the 491-room Hyatt Regency Scottsdale Resort & Spa at Gainey Ranch is expected to begin in June with the expected completion of all phases by the end of 2024. The project will formally kick off with a complete renovation of the 2-acre pool complex in early June with an expected completion date by the end of this year. Doubling the size of the largest existing ballroom to 24,000 square feet and renovation of the existing meeting space would begin in early July and is expected to be completed along with the renovation of all other meeting spaces by the end of 2024. Guestroom renovations are expected to begin in the fourth quarter and is expected to be completed in the second quarter of 2024. Finally, the comprehensive renovation of all other public-facing spaces including the lobby and the transformation of all food and beverage venues is expected to begin in the second quarter of 2024, to be completed by the end of 2024. We note that this renovation is nearly all guest space as the building systems have been very well maintained over the property’s history. Upon completion, the property will have 5 additional keys or 496 rooms and will be rebranded as a Grand Hyatt Resort. Including the aforementioned projects, in 2023, we expect to spend approximately $130 million to $150 million of capital expenditure projects. Of this amount, approximately $45 million will be spent at Hyatt Regency Scottsdale. This is consistent with our initial guidance provided in early March. We are excited about the work our in-house project management team has completed and are even more excited about the projects we have underway and in various stages of planning in 2023. With that, I will turn the call over to Atish.
Atish Shah: Okay. Thanks, Barry. I will provide an update on our balance sheet and discuss our guidance. As to our balance sheet, it continues to be a strength of the company. As we have previously discussed, in January, we completed a recast of our line of credit, entered into new bank term loans and refinanced on the property mortgage loan. These actions improved our balance sheet profile. At present, we have no debt maturities until the second half of 2025 and about 80% of our debt has fixed interest rates. We continue to have a fully undrawn line of credit and a strong liquidity position. We continue to be active on the share buyback front. In addition to the shares we repurchased last year, thus far in 2023, we have repurchased nearly 3% of our outstanding shares at an average price of about $13.50 per share. At our current stock price, our implied value is approximately $270,000 per key for the portfolio, which we believe to be attractive given its high quality. We have approximately $125 million remaining on our share repurchase authorization. As to our dividend, we paid a $0.10 per share dividend in the first quarter on an annualized basis that reflects a yield above 3% on our stock. It also reflects a payout ratio of below 40% of projected FAD based on the midpoint of our FFO guidance. Moving ahead to our outlook. Group revenue pace continues to strengthen with 2023 group revenue pace for the last 3 quarters of the year up about 7% to last year. This reflects room night pace for the second through fourth quarter up about 3% and room rates up about 3.5%. Overall, the year is evolving as expected, with a very strong first quarter, followed by expectations for lower levels of growth in quarters 2 through 4, given tougher year ago comparisons and the impact of renovations. The midpoint for our full year guidance for adjusted EBITDAre is unchanged from early March. The midpoint of our FFO per share guidance increased slightly due to share buybacks, and our guidance on interest expense, income tax expense and G&A expenses were unchanged. As to our expected seasonality of earnings, our estimated percentage weighting of full year adjusted EBITDAre by quarter is as follows: for the second quarter, about 30%; for the third quarter, about 20%; and for the fourth quarter in the low 20% range. I’d like to wrap up by reiterating that Xenia is well positioned with a curated collection of high-quality properties managed by leading operators and located in desirable markets. With lower industry-wide new supply addition on the horizon, we expect to have a long runway for growth. Our portfolio has several embedded drivers that we expect to utilize, and we expect to utilize our balance sheet to drive additional growth over the next few years. We have historically done well managing through the various ups and downs in this cyclic business and expect our nimble profile and highly focused team to continue to deliver strong results. And with that, we will turn the call back over to Megan for our Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of David Katz with Jefferies. Your line is now open.
David Katz: Hi, morning everybody. Atish, can you just talk about leverage, leverage tolerance? Where you’d like to be? How you’re thinking about where you’d like to be? And just give us a little perspective there, please.
Atish Shah: Yes. Sure, David. So as you may be familiar, we’ve been running the company pre-COVID with -- in the leverage range of low 3x to low 4x net-debt-to EBITDA, and we believe that to be the appropriate level of leverage for us overall. We’re running just above that right now, a little closer to 5x debt to EBITDA on a trailing 12-month basis. And so we expect over the next couple of years as earnings continues to rise due to some of those embedded growth opportunities that we talked about that we’ll get back into that range. So that’s what we view as sort of the appropriate level of leverage for our business. And I will also remind that we don’t have any press or other senior capital. So that’s simply our relatively straightforward balance sheet that I’m -- I’ve been capturing here, describing our debt profile.
David Katz: Perfect. And as my follow-up, just looking at the M&A landscape, would you -- and maybe this is more of a Marcel question, would you consider yourself more likely a seller or a buyer? And any perspectives on either of those sides of the ledger would be helpful.
Marcel Verbaas: Sure, Dave. I’ll take that. From our perspective we’ve obviously done a lot of fine-tuning of the portfolio. So we like the markets that we’re in. We like the hotels that we own. We think -- we’ve obviously talked quite a bit about where we think the embedded growth exists in the portfolio. So I don’t envision us being extremely active on the disposition side at this point. We’ve really narrowed down our portfolio to what we believe is a really highly curated portfolio that has a good amount of upside in it at this point also because of some of the activities we’ve undertaken as it relates to renovations and all those kind of things. It doesn’t mean we won’t sell anything. I mean if the time comes where we think it’s appropriate from a market timing perspective and from a perspective of maybe a renovation is coming due that we don’t think is going to give us the right type of returns, we might do some additional dispositions. But I don’t expect us to do a lot of those. On the acquisition side, it’s really a matter of balancing the potential levers that we can pull with to drive shareholder value, as I allude to my remarks. So clearly, we think that there is a lot of value in our existing portfolio. So that’s why you’re seeing us be pretty active on the share buyback front. And clearly, these values that Atish outlined in his remarks, we think that there is a lot of value in our portfolio. And we’ll keep an eye on the acquisition landscape. We don’t think right now that the timing is perfect to get aggressive on our acquisitions. We do think that as we get deeper into the year and where people might be dealing with refinancing issues and those types of things that we’ve talked about over the last couple of quarters, that there might be some better and more plentiful opportunities out there.
David Katz: Okay, understood. Thank you.
Operator: Thank you. The next question comes from the line of Bryan Maher with B. Riley. Your line is now open.
Bryan Maher: Thanks. Just a couple of quick questions. On the food and beverage front, that spend was seemingly a bit higher than we were thinking. What’s driving that? And how sustainable do you think that is, Barry.
Barry Bloom: It’s really driven, obviously, directly by the group business that we enjoyed in Q1 compared to Q1 of 2022. We’re not seeing or hearing anything about softening in terms of the robustness of banquet and catering spend from groups. They continue to spend at significant levels. I’d note that the food and beverage spend has -- continues to actually surprise our operators as well, where groups are often committing to relatively minimal food and beverage contributions as part of their contract. But as they arrive on property, as they get closer to programs, still seem to be a bit celebratory in terms of what they want to spend on food and beverage overall and banquets, in particular, from the groups.
Bryan Maher: Okay. And then on the leisure kind of resort side of your business, it seems like maybe not just with you, but with some of the other companies we cover that those ADR increases are moderating a bit. How sensitive are you finding the consumer, the leisure consumer to be these days to pricing in that product category?
Barry Bloom: I think it’s much less about the consumer and what they’re willing to spend as it is about the demand characteristics in the particular submarkets. Obviously, we highlighted Key West and Napa. Napa is a little bit of an outlier. It’s very hard to discern how much of our challenges there in Q1 were weather-related, but they were significantly weather-related. Key West is a more interesting example. We’re not seeing guests not willing necessarily to pay the price that there’s a lot more competition for the business within the market, and that has led to the moderation in pricing, more so than a consumer unwillingness to spend top dollar for a premium experience.
Bryan Maher: Okay. And then just lastly, I think Marcel, you commented upon April trends. And I just want to clarify maybe what I thought I heard there. Maybe it’s -- is it the price insensitive revenge travel from 2022, just kind of exiting the marketplace to a degree and being replaced by more rational corporate and business transient? Is that what’s going on really you think as it’s impacting ADR?
Marcel Verbaas: That’s certainly a little bit of it. When you look back at the last year, April, you were coming out of Omicron. You had some really frothy leisure travel that was taking place in April of last year and that fueled a lot of our resort locations during that time, whereas this year in April, you have a little bit more balanced demand segments between group, corporate transient and leisure. So it’s just a little bit of a natural transition that you’re seeing in the portfolio. We’re not overly concerned about rates being held and those types of things. We’ve had a lot of discussions, obviously, with our operators on that, and we feel very confident as consumers are still willing to pay the rates, but we’re clearly seeing a little bit of an occupancy shift between the different segments in our portfolio. And that’s not a bad thing for us overall. That’s -- we think it’s a very positive thing. And we’ve talked about that as it relates to our hotels that are more focused on business transient and group, and we’re seeing some really good growth there. And so we’re actually excited about that. And I also pointed out, obviously, that the April results were we’re really in line with what our expectations were with what we expected to see in April, given the strength that we saw last year. And so we, again, feel good about what our current expectations are really for the second quarter and beyond. So it gets a lot of work here as we get deeper into the year, obviously, just because of the overall economic situations that we’re dealing with. But at this point, things are kind of progressing as we expected at the beginning of the year.
Bryan Maher: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Tyler Batory with Oppenheimer. Your line is now open.
Tyler Batory: Hey thank you. Good morning. Just a follow-up question in terms of trends in the portfolio, specifically in April. Interested in what you’re seeing in the West Coast -- or on the West Coast in particular. I mean I know you called out the strong year-over-year performance there in Q1. But any increased cancellations in April compared with March, just given some of the tech layoffs out there and some of the noise with the regional banking situation?
Barry Bloom: Tyler, good morning. Nothing of real note. And I think, obviously, our property that is most reliant on tech business and the tech sector in general is Hyatt Regency Santa Clara. And we’ve not seen any significant downward trends there in terms of demand, either on the group side or on the corporate transient side. Obviously, there are fewer employees in the market, but that has not translated -- and obviously, we’re keeping a close eye on, but that’s not translated to any softening in demand and we continue to see some growth actually year-over-year growth in, obviously, year-over-year growth in the market, but the trend line there has not shown us anything that we would be concerned about in that market.
Tyler Batory: Okay. Great. And I just want to circle back on the buyback a little bit, if I could. Just talk a little bit more about kind of how that fits in with how you’re thinking about capital allocation just in light of where leverage is right now and given some of the commentary on the potential deals that might be coming down later this year. I mean is your thoughts on the buyback more depending on where the stock is trading? Or is that more just compared to some of the other options out there? I mean is this like 12 to 14 level, ideally where you think you might be active in terms of repurchasing the stock?
Atish Shah: Yes. Tyler, it’s Atish. I think we’ve always taken sort of a balanced approach to share buybacks, and we have bought back shares over the years from time to time. We view it as one tool in the tool set of driving shareholder returns. Obviously, it’s a little bit shorter dated in terms of how you do that relative to some of the longer-dated investments in our business, but that’s how we continue to view it, really as a tool and we’ve taken a balanced approach towards it. So it doesn’t mean that we’re not open to other projects in terms of growth projects, acquisitions, things like that. And so that’s really the philosophy and the approach we’ve had. It’s certainly something we’ve employed in the past. We’re opportunistic about it. And as I mentioned, one data point was how we like the portfolio valuation on a per key basis. You can look at external estimates of NAV as well. You could look at it by cap rate. So across all those measures and we do evaluate them. We continue to feel like the stock is a compelling value. And so therefore, we acted on it. And so we have the authorization from the Board that’s got significant lead. Beyond that, I think really just -- I would continue to view it as a tool and that we’ll take a balanced approach.
Tyler Batory: Okay. Great. That’s all from me. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Bellisario with Baird. Your line is now open.
Michael Bellisario: Thanks. Good morning everyone. First question just on the renovation disruption that $15 million that you guys have for the full year. Maybe how much of that did you experience in the first quarter? And then what’s sort of the rough cadence of that impact from 2Q to 4Q for the remainder of the year?
Atish Shah: Yes. I mean we didn’t experience much of it in the first quarter, probably about $1 million worth, and then it certainly picks up kind of third and fourth quarter. That’s where we are going to experience more of the impact. And a lot of it ties to the renovation project that Barry described in more detail in Scottsdale and the timing of the various ones. So just kind of how the roll forward on that was.
Marcel Verbaas: So as you know, with the projects that we’re doing, first quarter, you saw the impact that we had at Canary Santa Barbara. As we get into this kind of the second half of the second quarter here and we get started on the rooms renovation at Grand Bohemian Orlando and the rooms renovation at Monaco Salt Lake City, we start seeing a little bit of an impact in the second quarter, but the bulk is really coming from the third and fourth quarter, with by far the majority coming from expenses.
Michael Bellisario: Got it. That’s helpful. And then just switching gears a little bit for Barry on the group side. What type of customer are you seeing the greatest pickup in committed room nights kind of broadly? And then secondarily, when you think about in the quarter for the quarter or in the month for the month bookings, who’s booking on that very short-term window? And what are they willing to trade off on? Is it price? Is it dates? Is it F&B? What’s kind of the makeup and the balance of power there, especially on the short-term booking side of things for group?
Barry Bloom: Yes, thanks for the question, Mike. I’ll answer them in reverse order. On the short-term business, we continue to be impressed and surprised by the amount of short-term business coming into the hotels, particularly the larger hotels. That business does tend to be still a little bit on the smaller side because it’s just really hard to execute large programs in that kind of timeline. What we are seeing is a lot of rigidity around dates, which can -- which, for our hotels, we think, has been overall helpful. It’s also an easy decision whether you can take it or not. But companies kind of have decided in their own mind when they’re having a meeting and then they’re shopping hotels. And that’s given the hotels in general a lot of opportunity to compress and press rate with those accounts because their dates are really locked in, and they may not have a lot of available options in the market as opposed to if they were looking at a broader swath of dates. So that’s one. Two, the growth right now that we’re seeing has shifted a little bit. Obviously, the corporate demand was very pent-up but executed pretty quickly. So now we’re starting to see, in particular, some of the longer-term, larger programs on the corporate side and association business start putting business on the books in particular for future years which had been a really slow process they had committed to, but we’re starting to see good commitments in a lot of the larger hotels on the association side for 2024 and 2025.
Michael Bellisario: Got it. And then just one follow-up there on the group side. I think there were a few comments by Atish just on the group rate for ‘23, anything on volume for the remainder of the year on the group side? And then also, what are you seeing on the books for 2024? Thanks.
Atish Shah: Yes, sure. Yes, I did discuss the volume in my comments for the last 3 quarters. Sorry, if it didn’t come through clearly, but I said volume up about 3% and rates up about 3.5%. And again, both those stats are for the second through fourth quarter. So the remainder of the year, taking out the first quarter, which obviously has a benefit due to the comparison to last year and Omicron. The only thing I would also point out with the pace is it’s inclusive of Scottsdale. And obviously, we had a lot of business in Scottsdale last year given the significance of the group business at that hotel. This year, the hotel is not filling up the business, given the upcoming renovation. So if you exclude that, the pace being up about 7%, that’s revenue pace, is actually more like 12% in that range. So that’s a pretty big drag on our numbers. So it’s just something to keep in mind when we think about pace that the remainder of the portfolio is actually quite a bit better than that 7%. And then as to 2024, it’s a little too early to talk about that. I know some of the peers have talked a little bit about 2024, but just given our -- the nature of our business, a lot of it looks a little bit closer to the year and certainly, we have a big chunk that books in the year for the year. It’s because our group is a little bit more corporate and leisure-oriented than an association-oriented. So first of all, we’ve traditionally not talked about it this early. And second, while even if we give you a number, it doesn’t round quite a bit between now and kind of where the end of the year when you talk about it. So a little premature. But I will say that we do feel pretty good about group business for 2024. The things that operators are telling us, some of the investments we’ve made into the properties, including the new ballroom here at Grand Cypress, which continues to get traction, the feedback that we’re getting on the Aviara renovation. So those are really good indicators for us. So despite the fact that we’re not giving you kind of a very early number 2024, we do feel pretty good about 2024 and how it’s shaping up. And W Nashville, Portland, I mean, those hotels that are new to us continue to ramp and do well from a revenue perspective.
Michael Bellisario: Fair enough. Thank you for that.
Operator: Thank you. Our next question comes from the line of Bill Crow with Raymond James. Your line is now open.
William Crow: Very good morning. Thanks. Barry, a question for you, which is we’ve heard from a couple of your peers that they’re starting to really focus on expenses at the property level, especially at some of the leisure or consumer-oriented properties. And I’m curious whether you all have started to get into that kind of prerecession mode of cutting costs.
Barry Bloom: Hey Bill, it’s Barry. I’ll take that one. I mean, as you know, we think we do a really good job of always looking at expenses and always working with the operators on identifying opportunities. We have asked all of our hotels for a deeper look at where expenses have kind of recovered to and what the opportunities are moving forward, whether business slows or not. But that’s very much a periodic exercise for us. I will tell you that our sense is that it’s been an easier exercise to conduct given all the learnings that we had during COVID. And we’ve talked about before how we had kind of worked with the properties and ask them to build up operating models at every decile of occupancy. So those -- so it’s been a much, much quicker process to look at that. And the reality is that there are some cases where expenses have moved in response to, in part, providing great customer service, particularly where rates were significantly in excess of what they were. But I think we have a huge amount of confidence in our asset management team and the work they have always done and continue to do, but there is certainly a renewed focus on making sure that expenses are in line with where we think business levels are today and potential outcomes of where business levels could be going forward.
William Crow: Okay. That was it for me. And my other questions were asked. Thanks.
Operator: Thank you. Our next question comes from the line of Aryeh Klein with BMO Capital Markets. Your line is now open.
Aryeh Klein: Thanks and good morning. Can you talk a little bit about the cadence of RevPAR growth expectations for the rest of the year? I think the guidance implies maybe around 1% growth post Q1 and renovation disruption will be more significant in the second half of the year, but April was down a bit from last year. So some color on the rest of 2Q and the year would be great.
Atish Shah: Yes. Sure, Aryeh. So when we had given guidance back in March and things haven’t changed really that much from then, we had talked about kind of the RevPAR number. On the first quarter, we’ve come in as we expected, the second quarter being sort of slightly positive and then the back half really being flat in terms of RevPAR to 2022. So I would say, generally, we continue to view things that way. Marcel, I don’t know if have anything to add here.
Marcel Verbaas: I’ll just add that, like I said, the April numbers came in for our expectations. So it’s not necessarily a matter of extrapolating that through the rest of the second quarter because we actually expected April to come in a little below last year, expecting a little bit of growth in May and June that will get us to kind of the cadence that Atish pointed out.
Aryeh Klein: Got it. And then maybe looking at Nashville, it improved year-over-year. I’m just curious how you view the occupancy number at 53%. Did that perform relative -- how did that perform relative to your expectations in Q1? And what’s your view there just for the rest of the year?
Marcel Verbaas: On the RevPAR side of us, it was close to our expectations. I would say that we still have a lot more wood to chop, particularly on the F&B side. There continues to be a lot of focus on the art of the operations. We’ve very interesting meetings with our operator there as it relates to the things that we think can and should be improved. So our expectations really haven’t really changed as it relates to how we look at it this year and going forward. So I believe that there is a very tremendous amount of upside, really, in this property. And we’re not really quite there yet with where we’re going to get to on -- particularly on the food and beverage side. I would say that April performance was encouraging, particularly as it relates to the RevPAR side of business. So far year-to-date, more or less tracking where we want to be, a little behind on F&B than where we want it to go.
Aryeh Klein: Alright. Thank you.
Operator: Thank you. There are currently no further questions registered. So I will now pass the conference over to Marcel Verbaas, Chair and CEO.
Marcel Verbaas: Thank you, Megan. Thanks, everyone, for joining us today. We look forward to seeing many of you over the next few months at the various industry events, and look forward to updating you again next quarter.